Operator: Good afternoon, ladies and gentlemen, and welcome to the Zumiez Inc. First Quarter Fiscal 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. Before we begin, I'd like to remind everyone of the company's Safe Harbor language. Today's conference call includes comments concerning Zumiez Inc. business outlook and contains forward-looking statements. These forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Additionally, information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Zumiez's filing with the SEC. At this time, I’d like to turn the call over to Rick Brooks, Chief Executive Officer. Please go ahead, sir.
Rick Brooks: Thank you. Hello everyone and thanks for joining us on the call today. With me today is Chris Work, our Chief Financial Officer. I'll begin today's call with a few brief remarks regarding our first quarter performance. Then I'll share some thoughts about the future before handing the call over to Chris who will take you through the numbers. After that, we'll open up the call to your questions. Fiscal 2019 is off to a good start. Following a challenging February, our business improved in March and accelerated further in April driven in part by a later Easter. For the first quarter, comparable sales increased 3.3% on top of an 8.3% gain a year ago. This was well above our guidance range of down 2% to flat as sales trends were much stronger than we anticipated over the last two months of the quarter. Our recent performance reflects continued outstanding merchandize and customer-focused execution as well as the strength of our financial model that is built to scale through the challenging preference of today’s empowered consumer and has now delivered positive comparable sales for 11 consecutive quarters. Before I hand the call over to Chris, let me reiterate the key elements of our strategy that we believe separate us from the competition as well as expand upon the primary factors contributing the strength of our financial model. We have a relentless focus on our customer which drives all that we do. It starts by having the right product and brands that our customers are looking for made up of a distinct mix of leading and emerging brands that are not broadly distributed. We’ve been able to consistently achieve this balance with the strong relationships we forge with our brand partners. This includes clearly articulating Zumiez culture-driven lifestyle brand position and showcasing our ability to connect with the target audience in authentic, engaging environment that is uniquely curated by our people all the way down to the local level. There are many brands important to our selection and customers that may serve only a handful of stores. Our customers want to express their individuality through many different avenues which can drive unique assortments even at stores only miles away from each other. Over the years, we spent significant time and resources improving our localized merchandize assortments to investments in our people and technology that enhance the customer experience at each touch point. Our teams put a significant amount of effort into understanding our customers, not only today but how they will continue to evolve and what will be important to future generations. This thinking is embedded in our culture and is reflected in who we hire and how we operate. This past month, we again brought all our managers together for an annual managers’ retreat. It’s a great event that teaches valuable skills through a multiyear training format that allows our managers to be better teachers and leaders. It is our belief that this event sends our retail managers back to their stores with renewed energy and enthusiasm for the Zumiez brand and cultural experience. Our sales teams, many of whom are also our customers, are in tune with the local and national trends that are important to our customers and can speak authentically to them. The next factor critical to our success is speed. We are already faster than most of our competitors due to our decision over three years ago to shut down our e-commerce fulfillment center and deliver all digital orders out of our stores. Not only did this concept of localized fulfillment mean we now have only one cost structure to leverage, which we believe is making it easier to expand operating margins in our current results and over the long term, but we can now get product into customers’ hands faster by reducing the order processing time, cutting down the shipping distance to the customer and also offering in-store pickup. Looking ahead, we are going to get faster in every aspect of serving and meeting customers’ needs than we are today. This will be driven over the next few years by getting to know our customers even more intimately through improved digital interactions and enhanced in-store experiences. Finally, we’ve taken our operating model and expanded it internationally in order to identify consumer trends that emerge locally and grow globally, and to achieve the scale necessary to work together with our brand partners in serving our customers around the world. Our expansion has established our strategic physical presence in seven countries, across three continents with a digital platform that allows us to reach even further. We are applying learnings and best practices from each of our markets to ensure that we are on top of the latest fashion trends and brand cycles which can now launch from anywhere in the world and quickly spread globally due to the proliferation of smart devices and social media. With regard to our financial model, we believe two key factors that contributed and will continue contributing to our building to drive long-term financial results. First, as a lifestyle retailer, we build our business to be exceptionally nimble, continuously evolving with customer trends and preferences. The capabilities we have built continue to provide us with a defensible strategy in maintaining and growing share with our segment of the teen market that seems to be unique and different. The first quarter again has highlighted this for us as we saw a category shift in our business globally with footwear and hardgoods leading the comparable sales trends while men’s and women’s apparel have shown softer results. This is a meaningful change from one year ago when we saw the apparel categories driving our positive comparable sales. Overall, the goal continues to be selling at full price and full margin while listening to the customer with regard to the categories and brands they want to see at Zumiez. This focus has resulted in growth of comparable sales in 34 out of our 40 years and it is something that we believe will continue to be an advantage into the future. Secondly, as we transition into the digital age we have done a tremendous amount of work creating an operating model that positions Zumiez to win with today’s empowered consumer by combining our digital and physical sales channel to work seamlessly in service of our customer. With one inventory that is accessible from all customer touch points, integrated sales teams, aligned goals and value set and localized fulfillment, we are well positioned to scale the business in today’s integrated world. This strategy paid dividends in 2018 as we increased operating profit by 25.3% on a 5.5% growth in revenue and we’ve continued that trend into the first quarter of 2019 delivering diluted earnings per share of $0.03 versus our guidance for a loss between $0.13 and $0.07 and up from last year’s $0.10 loss. With our distinct approach to retailing, authentic brand positioning, a strong financial model and balance sheet, I’m confident that we are set up well to continue capturing market share and generating increased value for our shareholders in the near and long-term. With that, I’ll hand the call to Chris for his review of our financials. Chris?
Chris Work: Thanks, Rick, and good afternoon, everyone. I'm going to start with a review of our first quarter and then provide an update on May sales before discussing our second quarter guidance and some prospective on the full year. For first quarter, net sales increased 3.2% to $212.9 million compared to $206.3 million for the first quarter of 2018. Contributing to the increase were positive comparable sales growth of 3.3% and the net addition of seven stores since the end of last year’s first quarter, partially offset by decrease of $2.7 million due to changes in foreign currency rates. As we discussed in March during our Q4 and fiscal 2018 results conference call, February sales started out slow impacted both by delayed tax returns and an overall slowdown in retail with comparable sales down 3.8% for the period. Looking at fiscal March and April 2019 combined to remove the impact of the Easter shift, the business rebounded for the last two months of the quarter producing comparable sales growth of 6.4% over that timeframe compared to 7.9% over the same period last year. During the 2019 first quarter, our comparable sales were driven by an increase in transaction volume as well as an increase in dollars per transaction. The increase in dollars per transaction resulted from higher average unit retail while units per transaction were flat to the prior year. During the quarter, the footwear category was our largest positive comping category followed by hardgoods and accessories. Women’s was the largest negative comping category followed by men’s. From a regional perspective, North America net sales increased 6.7% or 3.7% to $188 million. Other international net sales, which consist of Europe and Australia, decreased $0.1 million or 0.2% to $25 million. Excluding the impact of foreign currency translation, North America net sales grew 4% and other international net sales grew 8.6% for the quarter. First quarter gross profit was $66.5 million, an increase of $3.9 million or 6.2% compared to the first quarter of 2018. Gross margin was 31.2% in the quarter, an increase of 90 basis points compared to 30.3% a year ago. The increase was primarily driven by 40 basis points of leverage in our store occupancy costs, 20 basis points decrease in shipping and fulfillment costs and 10 basis point improvement in product margin. SG&A expense was $65.5 million in the first quarter compared to $64.3 million a year ago. SG&A as a percentage of net sales was 30.7% compared to 31.1% in the prior year. The 40 basis point decrease was driven by leverage in our store operating costs. Operating income in the first quarter of 2019 was $1 million or 0.5% of net sales compared with the prior year operating loss of $1.7 million or 0.8% of net sales for the first quarter of 2018. Net income for the first quarter was $0.8 million or $0.03 per share compared to net loss of $2.6 million or $0.10 per share for the first quarter of 2018. Our effective tax rate for the first quarter of 2019 was 59.8% compared with a negative 36.6% in the year ago period. The change in tax rate was primarily due to the exclusion of net losses in certain jurisdictions and the proportion of earnings or loss before income taxes across our jurisdictions. We continue to anticipate that our annual effective tax rate will be approximately 27%. Turning to the balance sheet. Cash and current marketable securities increased 42.4% to $168 million as of May 4, 2019, up from $118 million as of May 5, 2018. This increase was driven by $79.1 million in cash flow from operations, partially offset by $20.1 million of capital expenditures primarily related to new store growth and remodels. We ended first quarter 2019 with $136 million in inventory, up 6% from last year. Excluding the year-over-year impact of foreign currency translation, inventory grew 7.7% from the prior year, driven primarily by our recent sales trends, increased global store count and the timing of inventory receipts during the quarter. Our overall aged inventory as a percentage of total inventory is down from this time last year. During the first quarter, we did not repurchase any shares of our common stock. As of May 4, 2019, we had $75 million remaining on our stock repurchase authorization. Now to our fiscal May sales results. Our comparable sales increased 2.4% during the four-week period ended June 1, 2019 comparing the comparable sales increase of 7.5% for the four-week period ended June 2, 2018. The comparable sales increase was driven by an increase in dollars per transaction partially offset by a decrease in transactions. Dollars per transactions increased for the four-week period due to an increase in average unit retail, partially offset by a decrease in units per transaction. During the four-week period, the hardgoods category was our highest positive comping category followed by footwear. Men’s was our largest negative comping category followed by accessories and women’s. Looking at guidance for the second quarter of 2019, once again I'll start off by reminding everyone that formulating our guidance involves some inherent uncertainty and complexity in estimating sales, product margin, and earnings growth given the variety of internal and external factors that impact our performance. Additionally, the following guidance for the quarter as well as the commentary on the year do not contemplate the impact in changes in global tariffs. We are actively working with our vendors to minimize any potential impact on our customers. With that in mind, we currently expect that comparable sales will increase between 0% and 2% for the second quarter of 2019 with total sales in the range of $220 million to $224 million. Consolidated operating margins are expected to be between 2.2% and 3.2% and we anticipate earnings per share will be between $0.14 per share and $0.20 per share compared with last year’s earnings of $0.17 per share. Now I want to give you a few thoughts on how we’re looking at 2019. We are now building on 11 consecutive quarters of positive comparable sales. As we look to 2019 and beyond, we continue to believe that the investments we’ve made in our infrastructure creating a seamless sales experience for our customers, our unique approach to merchandizing as well as those investments we continue to make in the Zumiez team will drive long-term top and bottom line growth. With that in mind, we are reiterating our expectation of consolidated comparable sales growth in the low-single digit range for fiscal 2019. In fiscal 2018, we achieved peak product margins improving from the previous high point in 2017 despite a heavily branded cycle resulting in reduction of private label share of 370 basis points. In fiscal 2019, we now believe that product margins will be roughly flat despite both category and country mix shifts across the business. We continue to manage cost across the business. The mature concepts of North America are focused on leveraging at a low-single digit comparable sales point. Internationally, we have focused our managing cost well within our current sales and unit growth rates and driving our concepts closer breakeven reducing the impact of losses on the overall business. We are currently planning our business assuming an annual effective tax rate of approximately 27% as compared to our prior year rate of 27.5%. Diluted earnings per share for the full year are currently planned between $1.84 to $1.94 or 2.5% to 8.5% growth year-over-year. We are planning to open approximately 15 new stores in 2019, including six stores in North America, seven stores in Europe and two stores in Australia. We expect capital expenditures for the full 2019 fiscal year to be between $20 million and $22 million compared to $21 million in 2018. The majority of our capital spend will be dedicated to new store opening and planned remodels. We expect that depreciation and amortization, excluding non-cash lease expense, will be approximately $26 million, down slightly from the prior year. We are currently projecting our share count for the full year to be approximately 25.5 million shares. Any share repurchases during the year will reduce our share count from this estimate. And with that, operator, we would like to open the call up for your questions.
Operator: Thank you, sir. [Operator Instructions]. Our first question will come from the line of Sharon Zackfia with William Blair. Your line is now open.
Sharon Zackfia: Hi. Good afternoon. Congratulations on the continued positive comps. I guess a couple of questions. First, obviously you had a good May relative to what we’re hearing out there. I’m a little surprised given the comparisons are a little easier throughout the remainder of the quarter that you had I think flat as the low end of the range for the rest of the quarter. So maybe if you could talk to that and if there are any trends you’re seeing that are worrisome coming out of May? And then secondarily, anything you could tell us about how you think weather might have impacted apparel? And clearly it looks like you’re having some shift towards different categories, but I have to imagine there was some sort of dampening impact, pardon the pun, on the apparel business recently?
Rick Brooks: Let me start with that side and I’ll let Chris, Sharon, pick up on the guidance question. So I’m going to – just harking back to some of the comments I made earlier here on the call about the strength of the model and I think weather did probably have an impact generally. But the great thing about our business is that we want to capture wallet share of our customer. And so we find ways to do it that I think a lot of retailers can’t and I think that’s the really cool thing about what you’re seeing about our Q1 results as well as the May results at this point is there’s clearly been a shift and as we said in the call that shift has been a shift across all of our global entities, which I think is again just further evidence that global trends, global cycles they work together because of the power of media and social media today. So I want to get a comp anywhere I can get a comp, Sharon. You know me well enough on that front. So I’m happy to get it any way we can and I’m thrilled that our model allows us to do that. I think weather probably has been a factor, but retailers like to use weather excuse and I’m not saying we haven’t in the past, but I’m going to go with that for right now that we’re going to be happy with where we’re at and we’ll take the gains the way we can get them, good weather or bad weather.
Chris Work: In regards to the guidance and planning sales of that flat to positive 2 comp level, obviously we’re happy with how May started out too. And our focus is always to drive a comp, as Rick said. I think we look at June as there should be some potential opportunity there. June was softer for us last year. It was a 2.6 comp, but July was a 9 comp. And so we are kind of factoring in that July could be a little tougher, but again we’re focused on driving the comp year-over-year and we’re pretty happy with where we stand from an earnings perspective even having lost $0.17 last year – I’m sorry, made $0.17 last year and guiding at the high end of our range to $0.20 I think it shows that even on a low comp point of positive 2%, we can still leverage the business in these low periods. So overall I think we’re feeling pretty good. The flat on the back end, we’ll develop a range. Our goal would always be to beat the range but we’re just kind of looking at how we compare to last year and where we think we can drive the comp.
Sharon Zackfia: Just one follow up. Do you have any back-to-school shifts that impact July?
Chris Work: No. There are no significant back-to-school shifts. Obviously, we’re still working through all the tax free weekends and things like that. But what we know to-date are there are no significant changes that would move from August into July.
Sharon Zackfia: Okay. Thank you.
Rick Brooks: Thanks, Sharon.
Operator: Thank you. Our next question will come from the line of Jeff Van Sinderen with B. Riley FBR. Your line is now open.
Jeff Van Sinderen: Let me add my congratulations. Do you think – and I feel like the weather is talked about too much, but do you think that the weather means that maybe there is some pent-up demand for apparel over the next few months? And then I know you micro merchandize and differ by store, but anything more you can share on the evolving picture in terms of brands you see leading the charge for you in the remainder of 2019, any broad shift brewing this year versus last year on the brands? And then can you update us on how you’re thinking about your forward business as back-to-school approaches?
Rick Brooks: Right. Great. Thank you, Jeff. Again, yes, I think that’s the way weather cycles work. If you miss in one period you tend to get some back. I don’t believe you get as much back frankly when you miss the windows and that’s why I think already today what you see in the mall is a lot of pressure on – not in our store to be clear, but a lot of pressure on the seasonal categories in terms of markdown rates. There’s a lot of swimwear that’s heavily marked down already in the mall. Again, I think it’s strength of our model. I think we think things a little bit differently. Our seasonal business can go I think longer than a lot of what retailers’ seasonal business can run in terms of true back-to-school in early September. So I think we have some advantages that others don’t that we don’t have to be quite as promotional on those regards. But that’s my general take on the weather, Jeff, is yes, you do get some back but I don’t think you ever get it all back is the problem. As it relates to our brand positioning as we look forward to predictably the back-to-school cycle, I think we’re feeling great about where we’re at with our brand partners. We’re still continuing to launch a lot of new brands. But at the same time I would tell you that the rotation we’ve seen here in Q1 and in May where we’ve had new categories of product take the lead, this is – we’ve seen this many, many times over the years that these are cycles we go through. Again, it’s the strength of our model. It’s why I’m happy with how nimble and fast we’re able to move on these things and we can adjust really quickly, like we have relative to the skate hardgoods business here. And footwear, as you know, we’ve had a five-year negative cycle. Now we’re on a couple of year positive cycles. So I think footwear cycles tend to run in longer windows than fashion cycles just because of the nature of the footwear business. So we’re going to go – as I said in response to Sharon’s call, we’re going to go wherever the sales gains are and we’re going to go get them. And I think that back-to-school will – if we feel good with our brands, then I think we’ll be able to provide a lot of value for our customers that want value also in the back-to-school window. So I think we’re well positioned and I like the way our team has planned it out.
Jeff Van Sinderen: Okay, great. And then if I could just add one more. Could you give us sort of a brief update on the international trends and the outlook there?
Chris Work: Sure. As it relates to Europe and – maybe I’ll just touch high level on all of our international. Canada in Q1 was very strong in relation to the consolidated comp was certainly a driver. Australia performed roughly in line with the consolidated comp and Europe was generally flat. And do we think about Europe? I’ll sort of reiterate some of the things I said from Q4 and then kind of give a quicker update on kind of where we stand today. We still feel really good about where we stand in Europe as we think about 2019. This was our – Q1 was our toughest period of compare, so I think we performed pretty well in the first quarter given kind of the circumstances. This is a business that we have – we drove kind of breakeven in 2015 and then kind of got a little bit tougher over the last few years, but we’re starting to see it move in the right direction. And 2018 was stronger than the year before it. So we continue to kind of push forward here. As it relates to Q1, this was a business that even on a flattish comp was leveraging to the prior year and I think that’s something we’re pretty excited about and shows how we’re planning it to drive even in the tough times as well as in the good times where that can flow through. And for May it was actually a driver of our comps. So it had pretty strong results in May. So we’re feeling good about where we stand in Europe and I think the teams are well positioned and we have the right strategies in place and we’re excited to see how it performs as we move through the year.
Jeff Van Sinderen: All right. Thanks for taking my questions and continued success in Q2.
Rick Brooks: Thank you, Jeff.
Chris Work: Thanks.
Operator: Thank you. Our next question will come from the line of John Morris with D.A. Davidson. Your line is now open.
John Morris: Great. Thanks. Hi, Rick. Hi, Chris and team. Congratulations on the really good beginning to the year here. I guess if I step back and look at it, Rick, so impressive with the delta on the comp, how much better it was relative to your plan. So I’m thinking kind of from a qualitative bigger picture standpoint you must have been surprised. I’m wondering if you can give us a sense of where you were surprised on the outperformance. By category we continue to see footwear and hardgoods or at least the category performance kind of continue directionally the same overall. So I’m wondering if you step back and look from the big picture, some things must have surprised you whether it was geographically or certain more specific areas from a product perspective and I’m wondering if you can kind of shed some light there relative to the plan?
Rick Brooks: Yes, I think I’ll think about probably more from the sense of timing and I’ll let Chris add his comments too, John. I think we pretty much from a category perspective it played out as we thought it would and with adjustment around obviously, we were prepared to continue to run the way it was. The speed that skate changed after skate hardgoods became a driver was pretty remarkable, but our teams did a great job. Again, stake is an actually quick turn business for us. So we are able to work with our brand partners and really get back in the business because we have started to blow through products so quickly. So that’s nimbleness when you talk about in the model that we really – is really pretty remarkable. And likewise with apparel running down, we were also nimble on that side because so much of the business is printable. So I think that’s how we can end the quarter with inventory being so incredibly clean in terms of even in a big transition period like this. What did surprise me in Q1, I don’t think when we talked to you in March that we realized the bounce back was going to be as big in the weeks after our call and then with the Easter shift. We really had a good strong relatively speaking March post the call and a really strong April. So that I guess was – I’ll give the credit to our teams both in-store and our product teams and our marketing teams for the drive and the push there, but we were surprised by the strength that we hadn’t anticipated concerning how tough February was, as Chris said, relative to what we think was weather, delayed tax refund. So all those things kind of rolled in, but it just got consistently better. And so that would be my surprise, John, not in the sense of surprise relative to product but relative to the strength of the bounce back from the February results. Chris, do you have anything else?
Chris Work: No, nothing additional on my side.
Rick Brooks: Okay.
John Morris: Well, that gives really good perspective, Rick. Thank you on that. Okay, so talk about tariffs quickly here. I think we’ve all heard too much about it. Remind us what you’re thinking about in terms of China and the sourcing? Well, maybe just revisit for us how much of the total product assortment, whether it’s you or third party is coming from China? And I hate to ask now about Mexico, but if you have any kind of a read for us on what may be – what percentage may be export [ph] from Mexico? And then how – is there any evolution in your thinking of how best to handle those kinds of pressures, kind of the mechanisms or the handles that you’ll pull to deal with this?
Chris Work: Sure, John. I’ll go ahead and take this call. As you know, this is one that all retailers and we are definitely in line with them are following very closely. Retail pay sort of a disproportionate amount of tariffs as it reads today anyway. But this is a global society and our estimates and everything we’ve read is these are large percentages of apparel are being made in China and footwear I should say and globally it’s predominately all of footwear and the large percentage of apparel. So this is a challenge for all of us. We continue to monitor this really closely. So let me kind of start with where we stand today with the tariff situation in regards to what our exposure has been to date, actual exposure for raised tariffs. About 7.9% of our U.S. sales and 6.5% of our consolidated sales are coming from China and have been – we have already seen increased tariffs and that really relates to hats, belts, backpacks, wallets, other accessories things like that in those categories. So like all retailers we’re working to reduce this. To date, the increased tariffs haven’t had a material impact on our product offerings, pricing structure. But if this is expanded, it’s a much more difficult situation for us. So to get to your question of kind of what is our exposure today, in Q3 last year we talked to you about where we were at and said from both branded and private label combined, about 60% of our product domestically was coming out of China. That today in the first quarter was down to about 45%. So you can see there’s been a pretty comp straight effort both on our parts and our brands parts to diminish that risk, but that’s still a big portion of our domestic offering here and something we’re working actively to manage here. So we do expect if the additional tariffs are levied on the next group here, the next list, that will be impactful to us. But 45% is sort of the exposure today. In regards to Mexico, this is a scenario that we believe is a good place to move things specifically from a speed perspective and again kind of the putting the customer at the center having product there and being able to get it quickly is an important part. About 12% of our product in the first quarter was sourced out of Mexico. Again, we’re monitoring that as well. From how we handle, it’s going to be a case-by-case situation. We’re working with our vendors and our buying team and sourcing teams are actively managing this. Overall, we believe there will be an increased cost to the consumer. I think that’s generally where it’s going. How much and where that’s going to play out from a path along perspective have all going to be determined and something that will probably depend on a category-by-category, brand-by-brand basis, all depending on what’s happening within the market. So we’re working, a lot of time put behind it and we’ll kind of see where it goes.
John Morris: Well, that’s great progress on China and great results here to start to the year. Good luck going forward. Thanks.
Rick Brooks: I appreciate it, John.
Operator: Thank you. Our next question will come from the line of Mitch Kummetz with Pivotal Research Group. Your line is now open.
Mitch Kummetz: Thank you for taking my questions. I’ve got a few. So first on the guidance, just let me understand. So you guys beat the midpoint of your guide in Q1 by I think $0.13 but you’re not raising the range through the full year. I’m just hoping you can kind of reconcile that for me.
Chris Work: Sure, yes. I think for us – we gave a pretty wide range on annual guidance and it has not been our pattern to give annual guidance but we thought it was important given the state of retail and where we’re at today and we have pretty good confidence on the trajectory of the business. So we laid out $1.84 to $1.94 which was 2.5% to 8.5% earnings growth. We have about 21% of our year behind us and as we’ve said on the call, we’re really happy with our current position but we’ve got a long way to go. So at this point we definitely feel comfortable with the high end of our range as far as with our annual guidance, but there’s a lot of uncertainty out there and we’ve got a long way to go. So I think for us we felt like, okay, we’re very happy with Q1. As I said, we feel comfortable with the high end of the guidance. And as we move through the year, we’ll continue to update you if we have any new thoughts on where we’re going to end the year. But with 21% behind us, we didn’t think it was time to revisit those numbers.
Mitch Kummetz: Got it. And then on Q2 on your margin guide, it looks like the midpoint of your margin guide is down a little bit from last year. Maybe you can kind of walk us through some of the puts and takes on the margins in Q2 and I’m wondering if some of the category mix shift to hardgoods is hurting on the margins a little bit?
Chris Work: Sure. And specifically with product margins for our Q2 guidance whether you’re on the high end or the low end, there is a little bit of pressure on product margin. And I’ll tell you it’s really two factors that are laying into that. The first being product mix and you mentioned it. Obviously footwear and hardgoods have not been our historical higher margin categories. They’ve been on the lower side. So as those two gain share within the business, there is a little bit of pressure. That being said, we’ve run margin gains in those areas and I think that’s a testament to our buying teams and the work they’re putting in. The other piece that’s pressure on margin is our international business is growing at a faster rate than our domestic business and obviously that’s planned. The majority of our store growth is there and there’s a lot of opportunity there. But the growth rates are higher there and our international business runs at a lower product margin and that’s something we think is an opportunity over the long term, but it’s a more fragmented market. There’s a lot of distributors in the market and that leads to just a lower overall product margin. So yes, I think those are the two factors that are leading to it. I think where we’re really happy is on a 2 comp, we’re showing $0.20 of earnings compared to the $0.17 where we were a year before. So there is growth on the low comp despite having some product margin pressure.
Mitch Kummetz: Okay. And then lastly, Rick, a question for you. On branded apparel, I know you guys sell some large national kind of heritage brands and then obviously you sell a lot of smaller, more sort of local unique brands. And I wondering as you look at the apparel performance of late in the quarter, are you seeing much of a difference kind of if you sort of split the business along those lines, is one side trending better or worse than the other?
Rick Brooks: The heritage brands. Let’s ignore the big footwear brands as a general comment and the heritage brands is obviously a part of our business is the headline. So that I think should answer your question. It’s just really been driven by the trend brands and then by the new brands.
Mitch Kummetz: Got it, all right. Thanks. Good luck, guys.
Rick Brooks: Thanks, Mitch.
Operator: Thank you. [Operator Instructions]. Our next question will come from the line of Jonathan Komp with Baird. Your line is now open.
Jonathan Komp: Hi. Thank you. Just wanted to ask one follow up on the similar comments around the hardgoods performance and just wanted to maybe understand what drove the performance there and was there anything that was unique or that we shouldn’t expect to continue? I’m just curious for more color there.
Rick Brooks: Jonathan, we have been on a multiyear negative cycle around skate hardgoods and I wish I could tell you. We have been wracking our brains at all of our businesses around the globe and asking everyone what was the trigger that turned skate hardgoods on? And we don’t really know. All we know is that virtually almost simultaneously that category of business just took off. And this is the nature of modern trends. I think we hit the bottom and we’ve just seen this major uptick in it. I think skate hardgoods cycles tend to be multiyear cycles is our experience. I should indicate as we often do, you can see it when we get annual mixes, skate hardgoods as a mix of our business was actually near a 10-year low I believe. And so we have a lot of room for growth relative to mix share gain of our business I think over the next few years as these cycles play out. So I wish I could give you a catalyst and say, oh, this was it. This drove it. It just all clicked on and it clicked on in every category of the department. So it was across the board components; cruisers, longboards, pretty much gains across the board in all geographies. This is the nature and the power I think of having global trend cycles and why we want to be there to take advantage of those global trend cycles. So it’s pretty remarkable. But this is, again, the nature of the business. It’s not like we haven’t seen this in years past. We have seen these cycles. That’s why skate hardgoods were peak in '15 of just about I think where our mix was and now we’ve seen that reshape in a couple few tough years and now it’s coming back at it. So it’s the nature of our business and again I think great businesses go where the dollars are and that’s what we’re doing.
Chris Work: And Jon, just to add some color to Rick’s comment. We were about 14% when we peaked in hardgoods in 2015 and in 2018 we landed at 10%. So you can see there is quite a bit of growth potential for the category and we were obviously excited about the result.
Jonathan Komp: Okay. Maybe just one follow up. Is there a seasonality to that business at all just as we think near term?
Rick Brooks: Yes, there is some but it’s a consistent business year round. Obviously, typically, the spring tends to be a strong cycle for the skate hardgoods. It is still a significant part of back-to-school. Particularly we’ll sell decks for kids going to college, right, that aspect of it and so – it’s clearly still strong and moves up and down on the perspective. And then of course the holidays a gift giving item, and so we’ll see it be a factor for us in the holiday relatively gift giving.
Jonathan Komp: Okay, understood. And then maybe just a broader view. I know you implied some targets for the near term and for the year for margin, but how are you thinking about kind of the leverage points on either gross margin or overall operating margin kind of tied to same-store sales and the levels that you need today?
Chris Work: Yes, I think it’s going to be broken into two factors as we think about kind of our North America business which is relatively mature at this point. It’s not a large unit grower by any means. We’re looking at kind of that low-single digit and trying to find ways to leverage on it and I think that’s why you’re seeing us able to do it in our guidance level because we’re very focused on seeing gross margin grow as a percentage of sales and seeing SG&A grow at a rate less than sales. And so that’s yielding pretty good results here in North America. And on an international perspective, the overall revenue growth is higher both a function of the comp as well as unit growth across both Europe and Australia. And then it comes down to really managing expenses in a growth model. And if you can do that, you see pretty significant flow through of those incremental sales. So I think that’s what we’re seeing. And as we think about kind of what that means from a leverage point you can see on that low-single digit comp, we’re looking at 8.5% earnings growth on the top side. So certainly managing it I think pretty well with those types of ratios and something that we think we can do over the long term here.
Rick Brooks: Jon, I’d just add to Chris’ comments that we believe that we have still a lot opportunity around optimization. And when we talk about it, we always talk about localization optimization as a combo and the two things work together. We can be better, faster and localize fulfillment is a great example of this. We’re better, faster and serving customers and actually optimize performance in doing it from a cost perspective. So we think that – I know the North America team has many initiatives around this combination thought of how do you localize and optimize your business simultaneously, serve customers better and reduce your cost structure. So we’re going to continue that drive. And that’s what I think why Chris feels pretty good about where we’re at. I think we have some opportunity. I think we actually – we have some multiyear opportunities in this regard. So that’s part of what we’re reaping the benefits of something we’ve done and we’re going to continue executing against new ideas here this year and in the next couple of years.
Jonathan Komp: And maybe just last one if I could. Any thoughts on the buyback and maybe any perspective on why you didn’t take care some of the – or take advantage of some of the market volatility to buy any stock?
Chris Work: Sure. As we said in our prepared remarks, we have a $75 million buyback outstanding. We regularly review this with our Board and have a pretty clear strategy with how we’re operating. We still believe that buying back our stock is a very good investment. It’s a good investment in ourselves that I think will pay dividends over the long term to our shareholders. That said, we continue to be very opportunistic buyers. We believe there’s a lot of value but there’s also a lot of historical volatility in our stock. And the stock is showing that there can be wide swings. So those things coupled with just being a smaller stock that gets tied to the way of some of the macro retail trends, we’re going to be pretty opportunistic buyers. And I think if we can do that right over the long term, we can really maximize shareholder value. So our strategy is really focused on that. We work really closely with our Board on a quarterly basis, if not more often discussing it and we’ll find our spots.
Jonathan Komp: Understood. Best of luck. Thank you.
Rick Brooks: Thanks.
Chris Work: Thanks.
Operator: Thank you. [Operator Instructions]. And I’m showing no further questions at this time. So now it is my pleasure to hand the conference back over to Mr. Rick Brooks, Chief Executive Office, for any closing comments or remarks.
Rick Brooks: All right. Thank you, Brian. And again, I just always as I like to say thanks for all your interest in Zumiez. We always appreciate the opportunity to talk with our shareholders and investors. So thank you again. And we’ll look forward to talking with you post Labor Day for the second quarter results. Thanks, everybody.
Operator: Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude our program and we may all disconnect. Everybody, have a wonderful day.